Operator: Good day, everyone, and welcome to this Manitowoc Company Q4 2017 Earnings Conference Call. Today's call is being recorded. And at this time, for opening remarks and introductions, I would like to turn the call over to Ion Warner, Vice President, Marketing and Investor Relations. Please go ahead.
Ion Warner: Thank you. Good morning, everyone. And welcome to The Manitowoc conference call to review the company's fourth quarter 2017 performance and our 2018 full year business outlook, as outlined in last evening's release. Conducting the call will be Barry Pennypacker, President and Chief Executive Officer, and David Antoniuk, Senior Vice President and Chief Financial Officer. Today's webcast includes a slide presentation, which can be found in the Investor Relations section of our website. We will reference these slides throughout the prepared remarks. We will be sure to reserve time for questions-and-answers after our remarks. I would like to request that you limit your questions to one and a follow-up and return to the queue to ensure everyone has an opportunity to ask their questions. Please turn to Slide 2. Before we begin, please note our Safe Harbor statement in the material provided for this call. During today's call, forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995 are made based on the company's current assessment of its markets and other factors that affect its business. However, actual results could differ materially from any implied projections due to one or more of the factors among other described in the company's latest SEC filings. The Manitowoc Company does not undertake any obligation to update or revise any forward-looking statement, whether as a result of new information, future events or other circumstances. And with that, I'll now turn the call over to you, Barry.
Barry Pennypacker: Thanks, Ion, and welcome, everyone. Before I proceed I would like to take a moment to talk about the tragic accident that occurred last Friday, involving an NOC 300 quality crane at our test yard in Shady Grove, Pennsylvania. This tragic accident took the life two of our Manitowoc family members and injured three others. All of us share the profound shock and sadness this accident has caused. And our hearts go out to the employees and their families who have been affected by this heartbreaking event. The crane involved a prototype NOC 300 crawler crane with a test configuration that has not been released to the field. We are performing a comprehensive internal investigation into the accident and are actively cooperating with all government officials. As the investigation has not yet been finalized we cannot comment on the call at this time, however, make no mistake that Manitowoc takes safety very seriously and we will get to the bottom of cause of this accident as soon as possible. Due the fact the configuration a question of the prototype and one that is yet to be released to the market we are convinced that our entire fleet of NOC 300 cranes were made safe to operate in the field with the approved equipment and configurations. Now please turn to slide 3. I would like to discuss our fourth quarter performance. I am very proud of our fourth quarter results which showed significant year-over-year improvement across the board. Our results demonstrate that we are continuing to make progress in becoming the type of crane company that our global customers admire and trust. For the full year, despite a 2% decline in revenue, we delivered a significant improvement in adjusted EBITDA with a 313-basis point improvement. Operating cash flow was also a success story with improvement of over $200 million. This was driven in part due to our ability to be agile and sell nearly all the cranes destined for India that were cancelled as we mentioned during our third quarter call. I extend my appreciation to all our colleagues at Manitowoc they’ve demonstrated excellent operational improvements through the continued implementation of The Manitowoc Way. We have seen improving traditions in some end markets reflecting increasing confidence, however we also see challenges in some of our other key markets. We continue to execute our market growth strategy as we secure significant customer wins contributing to the fourth quarter orders of 620 million. I will give you more color on our growth strategy later in the prepared remarks. Positive market segment -- sentiment was most pronounced in the Americas with solid growth but with low comps. The distribution channel showed increased market confidence with the ramp up of orders spread out primarily in the first half of 2018 in anticipation of increased demand. Rental utilization continued to stabilize but rental rates continue to be under pressure reflecting an intensified competitive environment. With regards to used crane values, the latter half of the fourth quarter provided indications that values may be firming, but we need a few more data points to be indicative of an upward trend. Demand continues to be a bright spot with another quarter of increase in end market demand as customers continue to modernize their respective fleets to take advantage of the features and benefits of our new products. The winter campaign in our tower resulted in stronger than anticipated order intake levels, positioning us very well for the upcoming construction season beginning this spring in Western Europe. While we see signs of in the US and Europe, we continue to see challenges in many of our other international markets. A pull back in investment in the Middle East, due to ongoing structural changes further delayed an eventual recovery in this most dynamic region. In Australia, we see a rebound in mining along with large infrastructure, residential and commercial projects driving increased crane demand albeit far below peak levels. We believe the market continues to transform itself off the bottom as evidenced by our orders in the quarter and the sentiment of our customer base. We remain cautious on our outlook for a broad-based recovery in the crane market as it is yet to be seen if this inflection is sustainable over the upcoming period. And with that, I will turn the call over to David to talk us through the quarter’s financial results.
David Antoniuk: Thanks, Barry. And good morning, everyone. Let’s move to slide 4. Our fourth quarter adjusted EBITDA was in line with our expectations and consistent with our 2017 full year guidance. Fourth quarter orders totaled $620 million, an increase of 78% compared to $340 million of orders in the fourth quarter of 2016. Our year-over-year increase was driven by significant improvements in tower, all terrain and crawler crane orders. Within the U.S. and Europe, a significant amount of our orders represented stocking orders for our dealers, accordingly this may impact our order volume in 2018. Moreover, orders were also favorably impacted by approximately 3% due to changes in foreign currency exchange rates. Our December 31 backlog of 607 million was also up substantially over the prior-year. Currently over 80% of our year-end backlog is scheduled to be shipped in the first half of 2018. For the full-year orders totaled nearly 1.9 billion, an increase of 32% compared to 2016. The year-over-year increase was primarily driven by higher all cranes and tower crane orders, and was favorably impacted by approximately 1% due to changes in foreign currency exchange rates. And as I previously noted a significant portion of our fourth-quarter orders represented stocking orders for our U.S. and European dealers which may impact our 2018 order levels. Net sales in the fourth quarter of 482 million increased to 103 million or 27% from a year ago. The year-over-year net sales increase was primarily driven by increased shipments to European and U.S. customers. The improvements in Europe were primarily due to increased tower and all terrain crane shipments. With regard to the U.S. the improvement was broad-based across most products. The increase in net sales model was also favorably impacted by approximately 5% from changes in foreign currency exchange rates. Full-year net sales were approximately 1.6 billion decreased 32 million or 2% from 2016. The year-over-year net sales decrease was primarily driven by lower shipments of crawler crane units in the U.S. partially offset by increased shipments of tower cranes in western Europe along with increased shipments of truck-mounted cranes particularly our newly introduced TMS9000-2 and boom truck shipments both in the U.S. Full-year net sales were favorably impacted by approximately 1% from changes in foreign currency exchange rates. SG&A cost in the fourth quarter was 68 million which was 6 million higher than the prior-year. The year-over-year increase is primarily due to higher short-term incentive compensation costs earned in the fourth quarter and unfavorable foreign currency translation. Adjusting for these items SG&A cost for the fourth quarter of 2017 were approximately 58 million or $10 million lower than the prior year when taking into account a $5 million net benefit recorded in the fourth quarter of 2016 for incentive compensation costs. The adjusted year-over-year reduction was primarily due to lower employee related costs from headcount reductions during the year, reductions in professional and consulting fees and discretionary cost oversight. Full-year SG&A costs totaled 253 million, although above our expectations this was $28 million lower than the previous year. In 2017 we incurred short term incentive compensation costs which were not incurred in 2016. In addition, SG&A cost were unfavorably impacted by approximately 1% due to changes in foreign currency exchange rates. Adjusting for the short-term incentive compensation costs and FX rates year-over-year full-year SG&A cost were approximately 17% lower, primarily due to lower headcount and cost controls. During the fourth quarter we incurred 6 million of restructuring expenses of which 3 million was related to the Americas region for our plant relocation for Shady Grove, Pennsylvania and severance costs. Another 3 million was primarily related to foreign severance. Restructuring cost for the full-year were 27 million which were primarily related to the closures of Manitowoc Wisconsin and Passo Fundo Brazil facilities as well as severance costs globally. Our non-GAAP adjusted EBITDA for the fourth quarter was $22 million compared to a loss of $6 million in the fourth quarter of 2016. This marks Manitowoc’s third consecutive quarter positive adjusted EBITDA since becoming a standalone crane company. Full-year 2017 non-GAAP adjusted EBITDA was $67 million or 4.3% of sales, an increase of $49 million and 313 basis points over 2016 respectively. Our net income from continuing operations was $36 million for the fourth quarter of 2017 or $0.98 per diluted share. The fourth quarter results included discrete tax benefits of approximately $47 million. Excluding restructuring charges and discrete tax items, our adjusted net loss from continuing operations for the quarter was $5 million or $0.15 per diluted share. Tax expense in the fourth quarter notably after mentioned discrete items totaled $7 million. Although, our tax expense for the fourth quarter was higher than anticipated and negatively impacted fourth quarter diluted earnings per share by $0.10, our full-year tax expense was well below our expectations and guidance. Full-year net income from continuing operations was $10 million or $0.28 per diluted share, excluding restructuring charges and certain discrete tax items, our adjusted net loss from continuing operations for the year was $10 million or $0.26 per diluted share. As I previously mentioned, in the fourth quarter, we recorded discrete tax benefits of $47 million. This benefit was comprised of two significant items; an approximately $40 million tax benefit related to the reversal of the valuation allowance on our net operating losses in France and a $7 million tax benefit related to U.S. tax reform, primarily the reduction of the corporate tax rate. We completed a provisional estimate of the transition tax, due under the U.S. income tax reform legislation and believe the dean repatriation provisions will require us to report a taxable income inclusion of approximately $185 million. However, because we have sufficient net operating losses to fully offset this transition tax income and inclusion, we do not anticipate incurring a related cash tax expense. Additionally, since we are under a full valuation allowance in the U.S. and no transition tax expenses anticipated, there is no current year income tax expense related to the U.S. tax reform legislation. Due to the significant complexity regarding related to U.S. tax reform, we are currently evaluating the impact to our 2018 financial statements and we’ll provide full-year 2018 income tax expense guidance during our first quarter earnings call in May. With regard to our liquidity as of December 31, total availability under our asset base revolver was $104 million, net of $14 million in outstanding letters of credit. Cash on hand at year-end 2017 was $119 million, resulting in total liquidity as of December 31 of $223 million as compared to $214 million at the end of 2016. Our total ABL availability is approximately $40 million lower from previous quarters in last year, mainly due to the conversion of inventory during the fourth quarter, which lowered our asset base on which the availability is calculated. While we believe the availability on a revolver is adequate, we will see an increase in our availability as we build inventory to match our seasonal demand. Cash flows from operating activities of continuing operations were $112 million in the fourth quarter of 2017, nearly double the cash flows of the fourth quarter of 2016. Total cash provided in the quarter was primarily driven by a $90 million benefit from the reduction in net inventory. Full-year cash flows from operating activities of continuing operations were $79 million or 201 million better than 2016. On a currency neutral basis, working capital decreased 17% year-over-year and accounted for 69 million of the cash generation. Of the total working capital reduction, our team’s continued efforts to effectively manage inventory led to a currency neutral 56 million reduction year-over-year. Turning to slide 5, we are providing our 2018 full year guidance to reflect the changing macroeconomic environment along with the operational improvements we’ve achieved over the last 21 months. Our 2018 full year guidance is as follows. Non-GAAP adjusted EBITDA of approximately $96 million to a $116 million; depreciation of approximately $39 million; and capital expenditures of approximately $25 million to $30 million. With that, I will turn the call back to Barry.
Barry Pennypacker: Thanks, David. Moving to slide 6, 2017 has proven to be a year of transition at Manitowoc. We are continuing to make solid steady financial improvements by focusing on the things that we can control. Our restructuring efforts in the US are on track but we are not able to unlock all the full benefits of our actions until we see a broad-based sustainable recovery in end markets that utilize crawler and rough terrain cranes. While we have significantly reduced our fixed cost to align with the current end market demand, it is still not enough to take full advantage of the leverage we thought we would get when we did our restructuring model in the US. Simply put, we are not going to produce at full capacity or flood the market. In addition, we are maintaining our price discipline and on moving to commoditize our products. We are confident that the market will full rebound but until it does we will not fully reap the benefits of our restructuring efforts in the US. Additionally, a tightening supply chain with steel price increases are realities that we have to actively manage. Despite these challenges, we are focused on executing our four key strategic priorities to differentiate Manitowoc from our competitors; margin expansion, growth, innovation and velocity. As you know by now, The Manitowoc Way is the engine the drives our continuous improvement and is the foundation of our strategic initiatives and encompasses the core values and growth strategies that add value for our key stakeholders, those being our customers, shareholders and employees. Turning to margin expansion. As we continue our journey to double-digit operating margins, we are making progress in executing our cost reduction initiatives, streamlining our structure and investing in innovation to take full advantage of the eventual market recovery. In the Americas, we are encouraged by the growth trend, which if it continues, will allow us to fully leverage our manufacturing capacity and shared growth and realize all the benefits of a crawler crane relocation. In New York, we continue to drive improvements to maximize our manufacturing capacity. As I spoke about last quarter, we are realigning our factories in Europe by reallocating capacity among the plants to increase velocity and quickly link the evolution of our customers’ demand. At our German facility, the team has done a great job of simplifying our boom manufacturing. They have combined multiple machine operations, improved the flow of our fabrication area and have started to implement robotic welding. All of these are reducing lead times enabling us to meet increasing demand for all terrain cranes. Our next strategy is growth. As you know, The Manitowoc Way is all about creating good process and execution of these processes to deliver operational excellence. We continue to make great progress on the operational fronts. We now need to transition the organization to establishing process to pursue strategic growth. Recently we engaged a well-known firm to work with us to find new ways to organically grow in our key products. We must manage the organizational shift to grow through a systemic approach. We know the investment community places a premium on those companies that can predictably and sustainably grow above the market. We're currently focused on two key market opportunities and translating these into tangible growth concepts. This is the beginning of what I refer to as embedding a standardized process to operationalize growth at Manitowoc. I will continue to update you on the strategic priority as this is a key part of our margin expansion targets that we have previously communicated. I'm excited about the potential of these initiatives and aiding us in a continued transformation of Manitowoc. Our third key strategic priority is innovation. One of key missions of Manitowoc is voice of customer in our new product development process. Our investment in new products continue to be well received by our customers with over 40% of the revenue in the fourth quarter, coming from new products introduced since we became a standalone crane company. For example, we will introduce an upgraded 300 ton all terrain crane later this quarter, using the Manitowoc way [ph] tools we have been able to make significant modifications to our design and maintain our position with the highest performing crane in the 300-ton class. Our customers and dealers will witness firsthand the results of our continued investment and innovation, and our crane days in Shady Grove this June. As we plan to continue to introduce new products that assure to delight our customers base. Our fourth strategic priority is velocity. The culture of meaning operating approach is the best way to continue to have hard feet of the Manitowoc way provide in these types of result that our investors need. Also, we find that improving the organizational structure to be more cross-functional and local in nature goes a long way to increase our velocity. First this change is more effectively allows us to implement priority deployment as a management tool. Second, it allows us to implement the Manitowoc way to the entire team rather just independent functions. Roughly six months ago we did exactly this in our operations in India and China, in both locations we have implemented 5S, TPM, created flow in manufactures, and improved our safety, all of which has created capacity allowing us to move more manufacturers in these locations such as the fabrication of 15 angles to India and a localization of more fabrications in China for the Asian market. In closing our successful execution of our strategy has resulted in dramatically improved financial performance. we have made significant progress in making Manitowoc leaner and more agile. Through the downturn we kept our eye on the future. We focused on long term results. We are now well positioned to capture growth as market conditions continue to improve. While the market is in its early stages of recovery we continue to be focused on the things that we can control. By bringing to market great new products that our customers desire, a flexible manufacturing capacity and a flatten customer focused organizational structure. We are set up very nicely for a good start in 2018. With that I will turn it back to Ion to begin the question and answer session.
Ion Warner: Alright, thank you Barry and David. Operator please provide instructions now.
Operator: [Operator Instructions] We will go first to Jamie Cook with Credit Suisse.
Themis Davris: This is actually Themis on for the on for Jamie. Good morning. Just a question on orders, I mean, we saw very strong order numbers in your results. So, can you talk to order trends maybe throughout the quarter and in January? And then on the stocking actions that you mentioned in the Americas and how much of that was driven by sentiment maybe due to tax reform versus real underlying and user demand? And how much of a pull-backing orders should we expect to see in subsequent quarters on a sequential basis?
Barry Pennypacker: Well, I only have a little bit of time for that question, but let me try take a shot at. We’ll break it apart into pieces. With regards the Americas sentiment in our distribution bases is definitely improving. They’re starting to see that utilization is steady and improving, they're starting to see that used crane prices are coming off the bottom, they're starting to see in here continuous talk in Washington about an infrastructure bill. All of those things provide positive sentiment for our dealer network. And I can tell you that when we look at the United States in particular and an increase in orders that we received in the quarter, it's not just one section of the country either, it's pretty broad based and it’s given us the ability to see that - there is a time now coming where our strategic advantages that we have built into our innovation cycle are providing the types of productivity improvements that are driving demand for our products even in a flat market. So, if I look at the tempo throughout the quarter, I would say that it was pretty even throughout the quarter and it was not a happy stick in December, where everyone put their orders in, in order to get in line, it was a pretty broad brush throughout the quarter. And I would say that our orders thus far in 2018 are trending where we thought they were going to be. So, all good signs.
Themis Davris: Great. Good to know. And then just my follow-up on profitability. It looks like you guys chose not to provide any top-line guidance this time, but can you help us in terms of your profitability assumptions anyway. I’m just trying to figure out what sort of incremental margins are implied based on your guide and how we should think about the year-over-year expansion in operating margins?
David Antoniuk: Right. So, I think if we look at our guidance, we're from $96 million to $216 million, I think you should - take the midpoint in model, the midpoint versus where we ended up with this year at $67 million. So that would give you good indication of our basic improvement that we're committed to.
Themis Davris: Are we looking for single digit or maybe double digit increase in the top-line?
Barry Pennypacker: While at this point it, there's a reason why we didn't give revenue guidance and the reason we did is, I want to make sure that we deliver what we fact. I know for a fact we can deliver with revenue of whatever it may be, the midpoint of our guidance. I know that. If our revenue is lower than what we originally expect, we're still going to deliver that midpoint of that guidance. If our revenue happens to be higher, which quite frankly, we don't know as of yet, if its higher, then that guidance will be higher, but we have - we just came off a quarter where the orders were a little above $600 million, but if you go back in history and you look at fourth quarter orders for this company and try to get a trend for the following year’s revenue, there is zero correlation. So, for me at this point to say that our revenue is going to be in this range, I just don’t know where it’s going to be right now. But when I do, I will certainly be in a position to tell you guys.
Operator: We’ll go next to Steve Volkmann with Jefferies.
Steve Volkmann: Hi, good morning. May be just a quick clarification because you mentioned a couple of times in your commentary. Order of magnitude, how much of the fourth quarter orders were dealer stocking and what would be normal for that?
Barry Pennypacker: Well the exact percentage, I am not going to give. But I will tell you that it’s not the lion’s share. We had some large orders that will definitely be retailed. But we also had very, very good orders in our tower business as I mentioned and those are not for stock. They go directly to our customers and end users. So, it is very difficult to get the exact number because quite frankly it’s changed from when the customers have placed their order, some of them have been retailed and some of them haven’t. So -- but I would tell you that I am encouraged by those orders. They’re -- as I said they are not in one particular category, they’re pretty broad-based. So that shows me that some of these guys who have been in this crane business as many years as I am old, have confidence that they’re seeing a starting.
Steve Volkmann: Okay, alright. Fair enough. And then just to push one more time on the margin question. Barry, you mentioned at the outset that you haven’t really been able to get kind of the benefits of volume yet. And so, you haven’t shown -- I think you said you haven’t seen quite as much margin expansion as you would have hoped for, that you think you can do eventually. And I am trying to just get a sense of how you are thinking about 2018 relative to margin expansion. Will we see margin expansion, is there an order of magnitude to think about for that?
Barry Pennypacker: You will see margin expansion but much in line increasing above what our prior guidance has been, the 150-basis points margin improvement a year. We will definitely exceed that this year. But as I said in the prepared remarks, we truly need crawler and RT volume in the US to come back, not even to -- I don’t even need them to come back to historical highs, but if they come back 50% of historical highs which is still a very broad-brush recovery for those two particular segments for us in the US. Then we will really see a substantial, substantial increase in our overall operating margins.
Operator: We’ll go next to Ann Duignan with JPMorgan.
Ann Duignan: Hi, good morning. Barry, could you just -- or one of you, could you just walk us through may be the seasonality of your profitability, would you expect to be profitable in each of the four quarters or should we consider just given your comments about a lot of the backlog for spring delivery may be seasonality will be a little bit skewed to the front half of this year rather than back half.
Barry Pennypacker: I don't you think it's going to be skewed I think it's going to be pretty consistent with what we have exhibited in the past where it will come off a very low first quarter and have substantial increases as the year goes on.
Ann Duignan: Sorry I was just going to ask you to clarify, do you expect to deliver profit in Q1 or should we take normal seasonality in maybe a loss in Q1 and then strong solid performance thereafter?
Barry Pennypacker: We are trying to get that to point where we can understand exactly what the seasonality issues are but based on what I have seen in the past I don’t expect the seasonality for 2018 to be any different than 2017.
Ann Duignan: And then just a follow up. On the Q3 call you talked about CL cost inflation you talked about very competitive pricing and I think you talked about slight chain constrains. I think alluded to some of it like chain constrains again this quarter in your opening remarks. Could you expand on each of your growth -- three goals through '18?
Barry Pennypacker: If you are in the business of buying steel you know exactly what's happening steel prices, steel prices are increasing. But as I look at it all of our competition has the exact same situation going on. So, I would expect that they will have the same amount of discipline that we have and fully expecting to offset these inflationary activities with price. With regard to supply chain you know what I talked about it and in the third quarter it was primarily on things like hydraulic, unfortunately for us but as we enter this year its shifting itself into heavier higher labor content fabrications, I think as the broad-based recovery happens in the some of the large construction equipment, large fabrications are becoming tighter. So, we are evaluating those and we are moving production as I alluded to in the prepared remarks from one plant to another where we can take advantage of some of our automation that we have implemented over the last few years. So large fabrications are becoming a supply constraint but we have got a system in place that we utilize that’s a Manitowoc way that we don’t want to make pieces for that, and that we have got to go in and help our supply base with the same tools that we use in our factories in order to free up some of their capacity.
Ann Duignan: And pricing?
David Antoniuk: Yes, pricing in the U.S. is okay. I mean we continue to see the pocketed opportunities. I would say that Europe hasn’t changed very much. Europe is still very competitive particularly in Germany where all four of us to our competitor's manufacturer all terrain cranes I think that’s a competitive area. But in the Middle East it's not existent from a pricing perspective. So, we got that continue to utilize the principals and our innovation strategy. If we continue to introduce products that completely change the model and return the invested capital for our customers and as we do that we will continue to grow through the cycle.
Operator: We’ll go next to Mike Shlisky with Seaport Global.
Mike Shlisky: Yes, good morning. So, I just want to ask about your comments on the U.S. business during the fourth quarter, it sounds like that you said that it was pretty good across most categories. So, I guess that would include some of the heavier crane category. So, could if you maybe give us some color on the gross margins of the most recent heavy crane shipments -- what you had maybe over the last couple of years, just kind of give us the kind of quantification as to how well the man to walk away [ph] has been implemented so far from your older shipments?
Barry Pennypacker: Yeah, Mike, I mean, I would generally say that when I look at the year-over-year change, really, it's not in the larger cranes that we're talking about, it's more of the -- what I'll say, the boom trucks and the industrial trucks and in addition to that we continue to push our aftermarket with our margins going up as well. So, I think, it's really not the larger models that we're talking about, it's more the other items that are generating the volume in U.S. The larger models that as you're referring to, Mike, are primarily crawlers and I think I beat that to death by saying that that's a market that we really need some help from infrastructure spending to make that come back where we can really fully utilize the efforts that we put in restructuring that business.
Mike Shlisky: Okay. And then secondly, I want to ask about the whole India that started last quarter, it sounds like most of those cranes were in fact being marketed, but is that customer going to come back to the market anytime soon, I guess the issues they had in the last quarter, I mean, is that kind of resolved by now and [indiscernible] you may look at for 2018 there?
Barry Pennypacker: No. They’re not resolved. The answer is, yes, I think that anything that needs to have legislation change in India, it takes time. We know for a fact that our customer -- these cranes, we know our customer need these cranes and we also know that there’s a substantial amount of effort to try and get this resolved by the end of the second quarter.
Operator: We’ll go next to Seth Weber with RBC Capital Markets.
Seth Weber: Good morning. So, I think first I just want to clarify what I think I heard earlier, Barry, did you say operating margins in 2018 up at least 150 basis points year-to-year. Is that right?
Barry Pennypacker: That’s correct. That is correct.
Seth Weber: Great. There has been a lot of restructuring, and a lot of plant moves and things like that. Can you give us some idea of where you're at from a capacity utilization at this point, maybe by region if that's possible?
Barry Pennypacker: I mean, we know -- I mean, you can probably imply from my comments that it's still extremely low in the U.S. even though we closed that 550,000 square-foot facility, extremely low in the U.S. And as we go to Europe, I mean our plants are doing exactly what we envision them to do, and they're absorbing in big ways that are making us extremely happy.
Seth Weber: Okay. So, would you say the US is below 50% so at this point?
Barry Pennypacker: Yes.
Seth Weber: Okay. And then maybe, I don't know I might have missed this, sorry, Barry, the commentary around sort of this next growth initiative, I know you've talked about the aftermarket history over the last year or 2. What else should we be thinking about as part of this kind of growth move that you're kind of alluding to? Is it peripheral markets? Is it just more product? I'm just trying to think about how you're envisioning this process.
Barry Pennypacker: Manitowoc Cranes and President of Manitowoc Cranes When you look at what we've talked about for the last 21 months since I've been here, I mean, we've talked an awful lot about The Manitowoc Way, and all the tools and processes that we implement in order to ensure that we're going to get the type of results that we are communicating externally. So, with regards to our operational excellence program in this company, we have a very, very highly structured process-oriented approach. With regards to growth, we're not nearly as structured. And when you're as operationally focused as this company is, I said in the prepared remarks. And what I mean is we're trying to take a growth process and operationalize it, if you will, into something that all of our salespeople can utilize in order to get strategic growth. I mentioned we're starting out targeting 2 particular market segments that we are currently not exhibiting the type of growth rates that I had originally thought. And we are implementing a process that shows us how to approach these markets in different ways to grow substantially, and I just am absolutely astounded by what we found just in the last 2 months of effort. So, I'm very, very encouraged by this. As you know, we're very process-oriented people, and I just felt that in order for us to continue our success, once we operationalize this company the best way we can, we need to have process around strategic growth.
Seth Weber: Sorry so what are these -- sorry if I missed, what are two areas that you are focused on?
Barry Pennypacker: Give us a few more months then I will tell you.
Seth Weber: Okay. But it’s separate from the after-market initiative you talked about?
Barry Pennypacker: Absolutely. The aftermarket initiative is alive and well. It's one of our strategic priorities, and it continues on. This is in addition to all.
Seth Weber: And will this require capital, capital investment or is it just using?
Barry Pennypacker: No, no, it’s just using new tools and process.
Operator: We’ll go next to Steven Fisher with UBS.
Steven Fisher: Thanks, good morning. If I could just gauge your confidence Barry in the message around 10% margins by 2020, I know it probably will still depend on some of the shape of the recovery in the crane markets. But how are you thinking about that target and the base case path for getting there? I know you just said at least 150 basis points to 2018 but that still is gap to get up to 10%. So, if you could just talk about that would be helpful.
Barry Pennypacker: I mean we are 100% committed to that still. As I have mentioned to you and I said a number of times during this question-and-answer session as well as prepared remarks when we are operating at the capacity levels that we are in the U.S. it's going to be extremely difficult in order to get to that target. However, I do know that by studying this market that we are not going to be at these historical lows in those two major product lines forever. And as positive sentiment comes back and those two particular areas of our business continue to rebound, it's going to be the proverbial hockey stick in that area. We continue to see nice improvement in all of our base businesses that are growing with 150 basis points of margin expansion. But when you have such as large portion of your revenue base -- remember when we put the target together was based on '15 revenue. And when you look at where our key volume, what our crawler crane volume was back in '15 we are a long away from that. Now we are supplementing with our areas and we are growing in other areas which is helping but we are going to need some market recovery in those areas because quite frankly that was part of the original assumption.
Steven Fisher: And then just to come back to the question about the stocking and the orders in the next couple of quarters because obviously you have a CONEXPO in the comps as well. S if you could just maybe frame directionally in the first quarter. Are you think thinking that that orders could be down?
Barry Pennypacker: Down from fourth quarter…
Steven Fisher: And year-over-year, or either from both?
Barry Pennypacker: Yes, I expect them to definitely be down from the fourth quarter but I think we have a shot at the end -- pretty close to what we did in the first quarter without CONEXPO.
Steven Fisher: Without CONEXPO is that you are adjusting that number or something absolute number?
Barry Pennypacker: No, no, no that’s absolute number.
Steven Fisher: CONEXPO this year. got it.
Operator: We will go next to Charlie Brady with SunTrust Robinson Humphrey.
Charlie Brady: Can you maybe just remind us at kind of what volume level -- obviously in the capacity utilization is not where you need to be because of the volumes. Can you tell us where your added capacity utilization at Shady Grove and kind of what does it need to be to try to get up to margin levels that you are aiming for?
Barry Pennypacker: We'll all I said Charlie is that it's under 50. And it needs to get north of that. The exact number I don’t think we have calculated, we can work on that and try to get you an answer but I just know that it has to go well above where it is today. But let me just clarify that if you will. Well above where it is today it's still not near not near peak levels we have exhibited.
Charlie Brady: Great. So, just as a follow-up here. I want to go back on the revenue question for 2018 and the guidance, or lack thereof. I understand visibility is challenged sometimes, particularly in a market, but it strikes me that you have provided guidance for the following year in the past, the market sounds though, it’s getting better coming off the bottom there is more interest from the dealer level, and I’m just trying square up, is it a function of a -- you had a large influx of orders in Q4 and then maybe we pull some stuff forward and then you got tough comp with the CONEXPO stuff and some other things in a year ago, I’m just trying to understand the visibility or the lack of visibility, and not being able to give some sort of sense of where you think 2018 is going to shakeout even in a range format for 2018?
Barry Pennypacker: Well, I could have given you a range, Charlie, but it wouldn't have been worth on the paper it was written on or where it was set. I mean, when you look at what we booked in the fourth quarter and you annualize that which is I know, it’s one of the things that you guys have a tendency to do, that’s well above what my revenue expectations are for 2018 because let’s face it. I mean, you heard me say that in Europe, there has been some change and there has been some utilization increases and modest growth, but by no sense of the imagination that I have said or anyone have said that the broad-based recovery in the crane market in the U.S. is imminent. So, until, I see signs that that is a broad-based recovery, I’m going to just pass to know what I have to do from a cost perspective and from a revenue perspective in order to meet our midpoint. And as I said, our midpoint isn't going to go down - our midpoint isn’t going to go down, but if revenue goes up above our expectations and this thing recovers faster than I think it was, then we'll update you.
Charles Brady: And your…
Barry Pennypacker: You’re asking me to give you something that I don't have, and we're very transparent. It's not like we're trying to hide anything. We want to give you numbers that we know are good.
Charles Brady: Yes, I mean I appreciate that. And I think we all do. I mean that’s -- I don’t want to -- no one wants bogus numbers out there that then get cut back. I’m just trying to get a sense from a capital [ph] standpoint, the visibility sounds like, maybe it different than it has been historically and that’s all I am trying to understand. Are you…
Barry Pennypacker: Yeah, yeah. I think that’s absolutely correct. I think that’s absolutely correct. Absolutely correct.
Charles Brady: Does your guidance only half have implied revenues up year-on-year?
David Antoniuk: Yes, Charlie. So, our guidance -- our guidance is twofold. Number one, we have -- what I'll say is we put together what we have is what we consider a best-case scenario, but we've always said that we're going to have at minimum of 150 basis points to 200 basis points improvement on a year-over-year basis and we're going to live by that. With just on the revenue side what we don't know on the orders side and revenue side, what we don't know is, how many of those orders are going to go to the latter half of the year that are already in the stream. So we're not quite sure how it's going to play out with all of the dynamics within the U.S. market, whether or not, these orders are going to then be, flooding the market into the second half of the year or if there, truly a first half of the year and that visibility is yet to be determined by us, which is why we're a little cautious as to how we see the products that we’re putting into dealers channels turning into what I will say sales and rentals within the user group.
Operator: We’ll go next Mig Dobre with Baird.
Mig Dobre: Yes, thank you. Good morning. I am going to beat the order horse some more. So, I understand the comments on stocking but -- and seasonally and all of that. But if I look at this quarter, you’ve had the best order quarter in three years. So, what I am trying to understand is why is the stocking dynamic happening, there has to be a reason behind it. Is it that there’s too little inventory in the channel, is it that the end markets are truly getting better, is it that you’ve gotten new product? Because all these things matter in the way we’re thinking about 2018 that’s why I am asking.
Barry Pennypacker: I think it’s all of the above. It’s all of the above. Our customers are having a higher sentiment that they think that there’s going to be some pent-up demand as a result of the stymied investment that’s happened over the course of the last two years. I think there are some pockets of markets that are fundamentally improving but haven’t had the inflection point that everyone would like to see. And so, I think that’s -- it is that. I think it is anticipation that this thing is going to turn and people want to be in the queue for making sure that when it is required for the end market, doesn’t have to supply. I mean a dealer network without supply is deserting when there is recovery.
Mig Dobre: Okay, fair enough. Then is this the way I am kind about revenue, and Barry if I am off mark, help me out. But you said that less than half of your orders are meant for stocking which would be less than 300 million in the fourth quarter. You’ve done 1.86 billion of orders in 2017. So, let’s not get down by call it 200 million, 300 million but your backlog is up 282 million. So, on a net basis it looks to me like without any improvement in your business you should be able to at least 1.8 billion of revenue by converting backlog into 2018. Why am I wrong?
Barry Pennypacker: I am not saying you are wrong.
Mig Dobre: Okay, fair enough. That’s all I look for. Thank you.
Operator: We’ll go next to Nicole DeBlase with Deutsche Bank.
Nicole DeBlase : Hi, yes, thanks. Good morning, guys. So, I am not going to try to beat the order horse again, I feel like we’ve kind of explored that as much as possible. So just a couple of nitpicky ones. I am thinking about SG&A cognizant that you helped us with backing out some of one-time or 2017 specific items. How should we think about SG&A on a year-on-year basis in 2018?
Barry Pennypacker: Yes, I think we’ll be somewhere in the 245 to 250 range.
Nicole DeBlase : Okay. Thanks, Barry. That’s helpful. And then I guess like on oil and gas that’s one thing that we didn’t really talk about a whole lot. The crude prices continue to move higher. Have you guys started to see increased order activity from that end market at all or is still pretty low?
Barry Pennypacker: Still pretty low, pretty flat. And one of the things that is dynamic is as you’re well aware in particularly in the U.S. the wells today are substantially more productive than it did in the past. So, there is a need for less equipment in some cases. So, we are evaluating that. We continue to make sure that the products that we are putting into the market are performing well above our competition, and I believe that you know particularly when it comes to RTs which is know the number one crane is utilized in the oil and gas business. We were getting to the point where we have what I would call world class performance. and as that continues to -- that capacity continues to be utilized I think we are sitting very well with our product portfolio. With regard to the Middle East so I can tell you there is still very, very muted investment. And as I said in my prepared remarks that was once a very, very good region for the Manitowoc Company.
Operator: We will go next to Larry De Maria with William Blair.
Larry De Maria: A I recall your previously recent price increases in January just curious if that happened if it went in across the board as everything is just deal by deal. And if that contributed to any of the order shares before, obviously in the fourth quarter before the new year? And secondly what's steel price inflation you are using, I am not sure if you said it, I apologize if you do, but what inflation for steel or the price you are using for '18?
Barry Pennypacker: Well with regards to the pricing we didn’t get much pricing put in for the fourth quarter. But we are and have put pricing in place in the new year. And I can say that our orders are trending where we thought they should. Now as far as steel inflation David can...
David Antoniuk: I would generally just go back to what our philosophy is and that is to offset what I'll say input cost with price. So, we actively look at our steel requirements where we are and what we need to do with relative to pricing. So, where we think it's going to be is it's probably not as relevant as how we address the changes within the marketplace.
Larry De Maria: But obviously you are assuming its higher than '17 I guess?
David Antoniuk: Absolutely. Yes, that is correct.
Larry De Maria: And secondly, I would say you have talked about crawlers and [indiscernible] them to come back just curious if you are seeing and quoting or anything like that in those categories or its really on the comment you need infrastructure, the rubber to hit the ground so to speak with the infrastructure for those market to come back? Or if there is any moving quoting given the broad-based recovery you are seeing in cranes in North America?
Barry Pennypacker: Yes, I'll say that I'm glad someone finally asked that question because we are seeing increases in quoting activity in both of those product lines. So that is very positive. But it hasn’t translated itself into orders in our backlog yet. But the activity with RTs and crawlers in particular are improving [indiscernible] its coming back which is a big plus for us in the future.
Operator: We will go next to Stanley Elliott with Stifel.
Stanley Elliott: Question is that on the 150 basis points on margin opportunity are you baking much in in terms of the RTs or the crawler is coming back and I apologies if you said that already.
Barry Pennypacker: I did not and no I'm not.
Stanley Elliott: Perfect. And then secondly, how do we think about -- you guys have done a really nice job on improving the working capital of the business. With markets looking like they're firming up a little bit, what sort of level of working capital improvement should we think about in the coming year?
David Antoniuk: Yeah. I would say, Stanley that, we’ve always prided ourselves on looking at improving our inventory turns by half a turn the year. That's been a stated objective of ours and a stated goal. So, in that regard we’re doing that. And we also have different programs underway to monetize our receivables on a quicker basis as well. So, I’d say those are the two key things. And obviously, we work very closely with the vendors in looking at how we can partner with them for a long-term value relationship versus just buy and sell relationship.
Operator: And we’ll go to Steve Volkman with Jeffries for follow-up.
Steve Volkman: Yeah. Dave, I just wanted to ask you what cash looks like in 2018. So, I think you just started to do that, but maybe just flush that out?
David Antoniuk: Hey, Steve, I would say it’s a little premature for that, but obviously, this year in 2017, we looked at breakeven in cash and we ended up doing a lot better. So, we probably did better than we anticipated. So, it's probably taken a little bit away from 2018 perhaps. And I’d say it just depends on the volume and the working capital commitment relative to that. So, I think that's the biggest wildcard which we're trying to get our hands around, but make no mistake about it. Cash is our number one priority, monetizing anything that we can within our inventory to generate cash is going to be paramount because as you know, our $260 million in notes comes due or is callable in February of 2019 and we want to be in the best position to allow us to get the best type of syndicate rate that we can when we refinance those. So, long and short, I'd say that I don't see it’s being negative. I'm anticipating that we're going to be positive, but to the degree of positive, I can't say at this point in time. Yeah.
Steve Volkman: Great. Yeah, I was talking about those notes too. So, thank you and that's it.
Operator: And that concludes our question-and-answer session. I would like to turn the conference back over to Mr. Ion Warner for any closing remarks.
Ion Warner: Thank you. Before we conclude today's call, please note that a replay of our fourth quarter 2017 conference call will be available later this morning by accessing the Investor Relations section of our website at manitowoc.com. Thank you, everyone, for joining us today and for your continuing interest in The Manitowoc Company. We look forward to speaking with you again during our first quarter 2018 conference call. Have a good day, everyone.
Operator: And that concludes today’s conference. We thank you for your participation. You may now disconnect.